Apple's Q4 2005 Conference Call, Wednesday October 13th 2005: [Operator]: Good Day and welcome to this Apple Computer Conference Call to discuss Fourth Quarter Financial Results. Today’s call is being recorded. At this time for opening remarks and introduction I would like to turn the call over to Nancy Paterson, Senior Director of Investor Relations and Corporate Finance. Please go ahead ma’am.    Thank you. Good Afternoon and thanks to everyone for joining us today. Speaking is Apple CFO Peter Oppenheimer and he will be joined by EDT of Sales & Operations Tim Cook and BC and Corporate Treasurer Gary Whistler for the Q&A session with analyst. Please note that some of the information you will hear during this call consists of forward looking statements regarding revenue, gross margins, operating expenses, other income and expense, taxes, earnings per share, future products, Apple’s retail initiative and non-cash share-based compensation expense. Actual results will tend to differ materially from our forecast. For information please refer to the risk factors contained in the company’s Form 10K for 2004 and in Form 10Q for the first three quarters of 2005. Please also note that any non-GAAP financial measures included in today’s call should be viewed in addition to and in not in lieu of Apple GAAP results. Our reconciliation in any GAAP and non-GAAP measures discussed will be posted on Apple’s website at www.apple.com/investor. I would like to remind you that the first quarter of Apple fiscal 2006 will end on December 31, 2005 and will span 14 weeks instead of the usual 13 weeks. In connection with FEC rules on corporate enclosure, Apple is making this analyst call open to the media and general public by broadcasting the call live over the internet. With that I would like to turn the call over to Peter Oppenheimer for introductory remarks. 
Related: